Operator: Good day, ladies and gentlemen. And welcome to the Fresh Del Monte Produce’s Second Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] I would now like to turn the call over to your host Ms. Christine Cannella, Assistant Vice President Investor Relations. Ms. Cannella, you may begin.
Christine Cannella: Thank you, Liz. Good morning, everyone. And welcome to Fresh Del Monte's second quarter 2015 conference call. Joining me today are Mohammad Abu-Ghazaleh, Chairman and Chief Executive Officer; and Richard Contreras, Senior Vice President and Chief Financial Officer. This call complements our second quarter press release, we made public this morning, and you can find that release or register for future distributions by visiting our website at www.freshdelmonte.com and clicking on Investor Relations. This conference call is being webcast and will be available for replay approximately two hours after conclusion of this call. Our press release includes reconciliations of any non-GAAP financial measures we mention today to their corresponding GAAP measures. Before we start, please remember that matters discussed on today’s call may include forward-looking statements within the provisions of the Federal Securities Safe Harbor laws. Forward-looking statements involve risks and uncertainties, which are more fully described in today’s press release and our SEC filings. These risk factors may cause actual company results to differ materially. This call is a property of Fresh Del Monte Produce. Redistribution, retransmission, or rebroadcast of this call in any form without our written consent is strictly prohibited. Let me turn this call over to Mohammad.
Mohammad Abu-Ghazaleh: Thank you, Christine, good morning, everyone. Overall we are pleased with the second quarter of 2015. We delivered higher earnings per share, net income and net sales compared with last year’s second quarter despite the challenges we faced. Our global value added fresh-cut business turned in an excellent quarter with increased sales in all regions. We have higher sales of avocados in North America year-over-year driven by increased customer base. Higher banana sales in North America and Asia also contributed to the second quarter’s performance; however our results were negatively impacted by a number of challenges. Foreign exchange rates in Europe and Asia negatively impacted net sales by over $40 million as compared to last year’s second quarter. Inconsistent weather patterns in Central and South America resulted in lower banana and pineapple use and quality issues with Chilean products. The decreasing volume resulted in higher banana production cost with lower transportation cost partially offsetting these challenges. During the quarter, we made tremendous progress with our global initiatives to expand our market presence, product offerings and expand our operational footprint positioning Fresh Del Monte for enhanced performance over the long-term just one example for our growth, we recently began exporting lettuce from our farms in Turkey. You may recall in Turkey, a couple of years ago responded with the sales office and today we are well on our way to becoming a vertically integrated company in this country which further solidifies our position as a major food company in the region. In summary, I would like to reiterate that while the second quarter was challenging, we feel good about the future of our business, the strength of our company is in our diversification and vertically integrated strategy. The performance in the second quarter highlights the power of having a broad portfolio of products, a strong geographic presence and flexibility in logistics. Opportunities enhanced and wellness, 4.38 convenience and new distribution channels continue to arise and we will continue to make investments in global initiatives for fresh and prepared products that will allow us to continue to differentiate ourselves within the industry. At this point, I would like to turn the floor to Richard.
Richard Contreras: Thanks Mohammad and good morning. For the second quarter of 2015, on a comparable basis excluding asset impairment and other charges, we reported earnings per diluted share of a $1.20 compared with earnings per diluted share of $1.19 in 2014. Net sales increased $3 million compared with the prior year period, gross profit decreased $8 million to $114 million compared to $122 million in 2014. Operating income for the quarter was $73 million compared with $77 million in the prior year and net income was $64 million compared with $66 million in the second quarter of 2014. Now turning to our business segments, in our banana business segment net sales increased to $514 million compared with $505 million in the second quarter of 2014 primarily result of increased sales volume in North America and Asia along with higher selling prices in the Middle East. Overall volume was 5% higher than last year’s second quarter driven by increased demand and new customers in North America and Europe along with favourable market conditions in Asia. Worldwide pricing decreased $0.43 per box to $15.06 per box primarily due to unfavorable exchange rates. Total worldwide banana unit cost decreased 1% due to lower transportation cost partially offset by higher fruit production cost and gross profit decreased $5 million to $45 million, compared with $50 million in the second quarter of 2014. In our other fresh produce business segment for the second quarter, net sales increased $6 million to $524 million, compared with $518 million in the prior year. Gross profit was $55 million compared with $56 million in the second quarter of 2014. In our gold pineapple category, net sales decreased by 12% to $152 million during the quarter, primarily due to lower yields in Costa Rica. Volume decreased 13%, unit pricing was 1% higher and unit cost was 3% lower primarily driven by lower transportation costs. In our fresh-cut category, net sales increased 16% to $124 million, compared with $107 million in the prior year. The increase was primarily the result of higher sales in all of our regions driven by increased sales volume with existing and new customers, higher selling prices in North America along with increased production capacity in North America and Asia. Overall, volume was 14% higher. Unit pricing increased 2% and unit cost was 2% higher than the prior year. In our melon category, net sales decreased 8% to $37 million compared with $40 million in the second quarter of 2014. Volume decreased 10%, unit pricing was 2% higher and unit cost was 1% higher. In our non-tropical category, net sales increased 6% to $143 million, compared with $135 million in the second quarter of 2014. The increase in sales was primarily attributable to higher sales volume in our avocado product line partially offset by lower sales in our grape product line. Volume increased 21%. Unit pricing decreased 13%, the result of unfavourable weather conditions in Chile, and unit cost was 7% lower than the prior year. In our tomato category, net sales decreased 7% to $31 million compared to the prior year. Volume increased 2%, pricing was 9% lower the result of industry over supply and unit cost was 13% lower. In our prepared food segment, net sales decreased to $11 million to $97 million compared with a $108 million in the prior year period primarily due to lower sales volume in our poultry product line partially offsetting this decrease were higher in our pineapple product line and gross profit was $15 million compared with $16 million in the prior year. Now moving to cost, banana fruit cost, which includes our own production and procurement from growers increased 3% worldwide and represented 30% of our total cost of sales. The increase in fruit cost during the quarter was primarily driven by higher production cost on our farms in Central America, a result of inconsistent weather patterns that reduced yields. Carton cost decreased 6% and represented 3% of our total cost of sales. Bunker fuel cost per ton decreased 38% and represented 2% of our total cost of sales. And total ocean freight during the quarter, which includes bunker fuel, third party charters and fleet operating cost was 8% lower. For the quarter, ocean freight represented 11% of our total cost of sales. As to foreign currency, the foreign currency impact at the sales level for the second quarter was unfavorable by $42 million. And at the gross profit level, the impact was unfavorable by $24 million. Other expense net for the quarter was $100,000 million compared with other expense net of $4 million in the prior year period principally attributed to foreign exchange losses during the second quarter of 2014. As to our debt at the end of the quarter, total debt was $209 million. Income tax expense was $6 million during the quarter compared with income tax expense of $5 million in the prior year period. And as it relates to capital spending, we spent $53 million on capital expenditures in the first six months of 2014, we expect to spend approximately $180 million in all of 2015. This concludes our financial review. We can now turn the call over to Q&A.
Operator: Thank you. [Operator Instructions] Our first question is from Jonathon Feeney with Athlos Research. Your line is open.
Jonathon Feeney: Good morning, everyone.
Mohammad Abu-Ghazaleh: Good morning, Jonathon.
Jonathon Feeney: Mohammad, first question is, can you give us a little bit more detail about the Middle East, I expected, it looks like there is a little bit of decline and I don’t think there is a currency factor there. So I’m trying to understand, what aspects of the business, you outpaced a little bit of headwind there and if anything has changed and what you, maybe the outlook for the rest of the year in that business.
Mohammad Abu-Ghazaleh: The only reason why sales declined, I mean I believe it’s the banana volume that was coming to the Middle East were short due to shortage in the Philippine during the period and that’s otherwise at the other front business is growing.
Jonathon Feeney: So outside of that fresh banana business, but you would be - still have the kind of growth you are expecting?
Mohammad Abu-Ghazaleh: We didn’t have enough fruit to stratify the market actually but that’s all a lot more than what we had received but the Philippine was short. And some kind of Medicad that the same time was short as well. So we had like double effect from central medical, well short and Philippine was short. So we couldn’t supply them enough to fulfill their requirements and that’s the main reason why probably best came down but all other trans business is growing fantastically.
Jonathon Feeney: Great to hear. Thanks. And the second question, on the pipe apple side was a little surprised with some of the pressure on that business, is this a quality issue exclusively or is maybe it would help if you could I don’t if you want to disclose this, maybe if you could tell us what regions were the weakest in the other fresh fruits business I should say.
Mohammad Abu-Ghazaleh: You mean in general?
Jonathon Feeney: Yes. In general. What regions where - I mean, I saw there were some decline there, what regions were hit the hardest in other fresh produce and pipe apple business within that.
Mohammad Abu-Ghazaleh: You mean in terms of volume or in terms of volume or in terms of - its Costa Rica because we had lot of weather, like I said the agriculture we have so many weather related issues during the last three, four months.
Jonathon Feeney: No. I’m sorry Mohammad, I mean like demand reach. So you were short for it because the production issues in sourcing pipe apples, and I’m wondering where the demand, where was it that brought less through was at the United States was it Europe, acquired regions were good, shorted the most time.
Mohammad Abu-Ghazaleh: Its across the world really and across all regions. We have shortage when we needed to prove. So again, the pricing was good but the volume wasn’t there so.
Jonathon Feeney: Okay. Thanks. And then, last question I had please is, so as I look at some of the pricing data, the third party pricing data that was from Germany, or Southern Europe, or the Mediterranean particularly the Mediterranean, now you are talking out some pretty low banana prices right now. And it would seem to this isn’t the kind of seasonally you’d be expecting to make bananas to above breakeven or get a little less profitably for the rest of the year. What’s your outlook for the banana business for the next six months with those kind of spot prices out there maybe, I know your volumes are the US, than a little bit stronger that might offset a little bit. If you give me some perspective on that, I’d really appreciate it.
Mohammad Abu-Ghazaleh: Really in Europe it is not a secrete that Europe market is really suffering, I mean, it’s really in turmoil as well not only as far as but also the exchange rates is being another huge hit for us and everybody else I mean let if you have a bad market and then you have also so much headwind in the foreign exchange area. So I’m not so optimistic about European markets going forward however as a company we are taking all kind of precautions and all kinds of steps to mitigate this to the minimum. So in order not to be early negatively impacted by this situation in Europe. So we have other markets and we have other, but we need to keep the minimum volumes into the market to make sure that, regular long term customers supply but definitely hopefully without losing and that’s our objective for the future.
Jonathon Feeney: And your regional mix within Europe is still pretty weighted towards the south, right? To southern Europe.
Mohammad Abu-Ghazaleh: Yes. The Southern Europe is the nation market, Italy, Spain, Portugal, these are the markets that really make a big difference.
Jonathon Feeney: Is there some reason why you are under-represented in Northern European markets or Germany or what not?
Mohammad Abu-Ghazaleh: Its very competitive markets, German markets is a market that will demand below cost prices which does not need require our criteria’s. All the Northern markets as matter effect are suffering because of the economic situation on one side and secondly, we know that now European markets would rather take a second grade fruit rather than a first grade fruit because of the price so you can - then can tell you what is going on in these markets.
Jonathon Feeney: Okay, well thank you very much. I appreciated.
Mohammad Abu-Ghazaleh: Thank you.
Operator: Thank you [Operator Instructions] Mr. Abu-Ghazaleh I’m not showing any further questions. Please proceed with any closing remarks.
Mohammad Abu-Ghazaleh: I would like to thank everybody for attending this call and as I said always Fresh Del Monte will always go forward and do better as we move forward. Thank you very much and hope to speak to you soon. Bye.
Operator: Ladies and gentlemen thank you for participating in today’s conference. This does conclude the program and you may all disconnect. Everyone have a great day.